Operator: Good morning. My name is Steven and I will be your conference facilitator today. At this time, I would like to welcome everyone to the UPS Investor Relations First Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise and after the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Mr. Joe Wilkins, Investor Relations Officer. Sir, the floor is yours.
Joe Wilkins: Good morning and welcome to the UPS first quarter 2015 earnings call. Joining me today are David Abney, our CEO; Kurt Kuehn, our CFO, along with International President, Jim Barber; President of U.S. Operations, Myron Gray, Chief Commercial Officer, Alan Gershenhorn and Richard Peretz, Corporate Controller and Treasurer. Before we begin, I want to review the Safe Harbor language. Some of the comments we'll make today are forward-looking statements that address our expectations for the future performance or results of operations of the Company. These statements are subject to risk and uncertainties which are described in detail in our 2014 Form 10-K. This report is available on the UPS Investor Relations website and from the Securities and Exchange Commission. The webcast of today's call along with a reconciliation of non-GAAP financial measures are available on the UPS Investor Relations website. And just a reminder, please ask only one question so that we may allow as many as possible to participate. Thanks for your cooperation. Now we'll turn the call over to David.
David Abney : Thanks, Joe. Good morning, everyone and welcome to our first quarter 2015 earnings review. We will talk in a few moments about the CFO transition announced this morning, but first, we are going to review the quarter. I am pleased to report UPS produced solid performance across all the segments. Earnings per share increased more than 14% led by International. This segment continues to demonstrate positive momentum as our unmatched integrated network generates high returns and significant value for customers around the world. The US Domestic segment performed as planned. Our actions on revenue management and pricing drove revenue per piece higher during the first quarter. The pace of volume moderated as we chose to forego some lower yielding opportunities. And in the Supply Chain and Freight segment, revenue and operating profit improved over last year as all three business units made progress. The first quarter’s results demonstrate that we are on track with our core business initiatives, both for the remainder of 2015 and for our long-term financial targets. Last year, at the Investor Conference, we outlined five key investment areas. These include improvements in capacity, efficiency and our strategies for growth markets. In addition, we’ve detailed our industry-specific focus and the One UPS initiative. We are moving forward in all five areas. In terms of greater efficiency, we improved productivity and operating leverage during the quarter. Investments in hub automation and route optimization projects are on schedule. In fact, we expect the accelerated deployment of ORION will reduce a 100 million miles annually once fully implemented. We are on plan to complete 70% of driver routes by the end of this year. To support the core business initiative of expanding industry-specific solutions, UPS enhanced two services to assist healthcare customers. We introduced our new Temperature True Packaging service which includes expert consultation and exclusive packaging options. These shipping containers are pre-qualified for use in our network and designed to fit our customers’ budget and risk requirements. Next was the expansion of our international special commodities program to 20 new destination countries. This allows UPS customers to ship biologic samples and specimens to more than 50 nations. These solutions will provide growth opportunities with new and existing healthcare clients. Our third initiative is capitalizing on growth markets. As demonstrated by our International segment, especially the strong growth that we continue to produce in Europe. The multi-year investments we’ve made there have positioned UPS to extend our ten plus years of near double-digit growth rates for the region. Another great example of a growth opportunity for UPS is the online retail. To strengthen our position as the e-commerce shipper of choice, we are expanding the access point network, our unique network of retail locations that both improves the consumers’ experience and provides better stop economics. In January, we increased the US footprint to include the more than 4400 UPS store locations. In May, we will add non-UPS store locations in the Boston, San Francisco and Washington DC metro markets. These expansions will bring the total access point locations to more than 20,000 by the year end. This unique channel is a key component of our global B2C strategy. As I reviewed at the Investor Conference, combining the many capabilities of UPS to meet customers’ supply chain needs is the foundation of our One UPS strategy. To increase awareness, we began a campaign to highlight the breadth of services that differentiates UPS in the marketplace. The tagline says it all. We are UPS, and to customers, we are united problem solvers. This play on our name and the entire campaign invites shippers to experience the can do, customer-centric, problem-solving culture of UPS. The goal is, both the new customer acquisition and deeper collaboration with existing shippers. These five investment areas are key to achieving our financial targets. I want to reinforce that UPS is intensely focused on creating and enhancing long-term shareowner value. This will be achieved by providing differentiated solutions delivered by highly skilled UPS. Our belief in both the UPS business model and the execution of our strategy was conveyed by the recent 9% dividend increase. We have a 46 year history of providing UPS investors an increasing or stable dividend. When combined with share repurchases, we expect total returns to shareholders to exceed 100% of our net income again this year. This quarter clearly affirms that we are moving in the right direction and on track to achieve our financial objectives. Now, Kurt will take you through the details. 
Kurt Kuehn: Well, thanks, David and good morning. The first quarter results show good progress across all segments. The US performed well and is successfully implementing a disciplined pricing strategy. International continues to produce strong momentum with a balance of growth, pricing and operating performance, and Supply Chain and Freight achieved solid results considering the turbulence created by the port disruption. As David mentioned, UPS earnings per share improved more than 14% over last year. Digging into the numbers, the impact of currency and fuel price changes have made comparisons to last year complex. But we’ll try to make it clear as we move through the segment results. Let me begin with the US Domestic segment, which reported revenue gains of 3.8% as a result of volume growth and improved pricing. Average Daily Package volume increased 2.4% driven by Deferred Air growth of more than 12% and UPS SurePost gains of 7%. Shipment growth rates were a little bit slower as the company chose not to pursue some lower yielding contract renewals. During the quarter, we saw balanced growth in both B2B and B2C shipments. Revenue per package increased 1.3% as base rate improvements overcame about a 200 basis point reduction in fuel surcharges. Ground yield was up 3.1%, primarily due to the dim weight change and other revenue management actions. Operating profit grew 11% to more than $1 billion. Margin expanded by 70 basis points supported by productivity improvements. Direct labor hours grew at a slower pace than volume. Now for the International segment, which continues to make substantial gains around the world, revenue on a currency-adjusted basis increased 2.4% over last year. International operating profit was up 14% to $498 million. Margin expanded 280 basis points to 16.8%. Volume growth, pricing initiatives and the benefit from the lag in fuel surcharges, all contributed to margin expansion. In addition, our currency hedging strategy also aided results. Daily shipments were 4.6% higher led by export products up 6.7%. This gain was driven by impressive growth in Europe, up more than 9% and we expect strong volume growth there to continue. Base rates improved across all regions and products, although they were masked by currency and changes in product mix and about a 300 basis point impact from lower fuel surcharges. Mix shift changes continued as trans-border volume grew faster than intercontinental shipments, and deferred products continued to outpace express products. Now, turning to Supply Chain and Freight, which performed about as expected. Revenue increased 1.3% to $2.2 billion driven by growth in distribution in UPS Freight. Excluding the impact of currency, revenue increased by 4.2%. Operating profit increased to $151 million and margin was 6.9%. The Forwarding unit improved operating profit and expanded margin over the same period last year. Congestion at West Coast Port terminals created challenges for many ocean freight customers. But the multi-modal flexibility of the UPS portfolio allowed customers to accelerate their ocean freight or re-route to non-affected ports. Looking at distribution, where revenue was up at a mid-single-digit pace. This unit continues to deliver top-line growth as more customers in the healthcare and retail sectors seek out our industry-specific solutions. Continued investments in technology and infrastructure pressured margins. UPS freight revenue increased by 2.3%. LTL shipments per day increased 3.5% over the prior year period. LTL revenue per hundred weight increased by 1.1%, but was negatively impacted by almost 500 basis points due to lower fuel surcharges. The unit is focused on providing mid-market customers with broader solutions and technology they value. Now for an update on our cash position. The company generated $2.4 billion in free cash flow continuing our strength and providing flexibility to fund our growth projects. Regarding share under distributions, in addition to the dividend increase that David mentioned, the company repurchased more than 6.7 million shares for approximately $680 million. As we look at our 2015 guidance, the first quarter did come in little better than anticipated with some help from fuel. Remember, as I said on the last call, first and fourth quarter’s earnings growth would likely be higher than the year’s average, while comparisons for the second and third quarter will be below the year’s average. Basically though, the 2015 quarterly results should return to the more typical UPS annual profit distribution. US Domestic volume growth should increase about 3% with revenue growing at a slightly faster pace. We expect base rates to be up approximately 3% at the top of our typical target range. However, lower fuel surcharge revenue will continue to weigh on reported yields. And last, our International revenue on a currency-neutral basis is expected to be up 2% to 3%. In summary, our full year earnings per share guidance is unchanged as $5.05 to $5.30, up 6% to 12% over last year. With that, I’ll turn it back over to David. 
David Abney: As you know, UPS issued a second press release announcing the retirement of Kurt Kuehn and the appointment of Richard Peretz as CFO. Kurt has served UPS for nearly 38 years and has been the CFO for the last eight. I have come to relying on his leadership and support over many years. I’ve also worked with Richard in previous assignments, especially when we were on the front-lines of expanding UPS’s International footprint. He has broad financial leadership experience and operations and corporate across many aspects of the finance area. He is well prepared to take on this elevated responsibility. Kurt will be with us as CFO until July 1st in order to assist Richard and the UPS team with the transition. An important part of that transition will include visits with investors for Richard to gain further insights into our company and markets. Following the Q&A period, I am going to turn the phone over to Kurt for closing remarks, but now, I’d like to introduce, Richard. 
Richard Peretz: Thanks, David for this opportunity and thanks, Kurt for your support throughout my career and now, as I enter this new role. I am looking forward to the challenge and I am honored to be part of the team leading this great company for the future. I’ll soon be hitting the road with Kurt and the IR team. I am intent on listening and learning and then integrating those perspectives into my own. I’ll save my comments for future meetings after I’ve spent a little more time adjusting to the job and the new responsibilities. Kurt?
Kurt Kuehn: Great. Congratulations again, Richard. Richard and I’ve worked together for more than 20 years on many of the most important company developments throughout our shared history. I think he will learn that he has tremendous ability to simplify complex business issues and develop a sound financial perspective, even on the most difficult transactions and issues. He is a capable leader who is ready to take on the critically important job of guiding the company’s financial strategies and leading the financial team. And I can’t hope but note, Richard that since this is your first appearance on an earnings call, it will also be your easiest. I am still going take on point on answering questions for this quarter, but Q2 will be yours and with David’s leadership and the rest of the management team of course to help. David, I’ll turn it back over to you. 
David Abney: Okay, operator, let’s… 
Kurt Kuehn: Wait, wait, let me do this last one, okay. 
David Abney: Okay, Kurt. Be my guest. 
Kurt Kuehn: Okay, great. Okay, operator, it is my pleasure for the last time to say, we are now ready to take questions on the quarter. Please open the lines. 
Operator: Your first question will come from the line of David Vernon of Bernstein. Please go ahead.
David Vernon: Thanks for taking the question and congratulations to both Kurt and Richard. 
Kurt Kuehn: Thanks, David. 
David Vernon: Little bit about pricing, can you talk about the progress and results that you guys have seen and implementing dim weight in the Domestic segment and provide any kind of additional insight into customer feedback on peak pricing initiatives that were discussed last call?
Kurt Kuehn: Sure, the – clearly, you can see on our reported yields that even with the headwinds of fairly substantial fuel surcharges, we showed substantial gain. So, the dim weight is one piece of that. Alan, maybe you could talk a little more about the revenue management more ahead. 
Alan Gershenhorn: Yes, Kurt. Pricing has been a real positive story. We are certainly proud of our sales and marketing team discipline and the value selling. As you can see, we were 200 basis points better than last year’s year-over-year growth rate with even a much larger fuel drag. So the impact came at the high-end of our expectation range and certainly the dim weight along with other revenue management practices contributed to that. Also on the call, previously, Kurt’s and I believe David’s comments, they talked about us not renewing some lower yield in customers. Switching to peak real quickly, we’ve got a comprehensive strategy in place that’s already begun to increase the revenue from customers that urge during the peak season and then also drive additional operating expenses. Price increases again it can be generally applied to the residential products and other high cost areas, but they will vary by customer and those revenue initiatives are already built into the guidance. 
David Vernon: Thanks, just as a clarification, as far as the number of customers that are paying a dim weight, are there a large – is there a large percentage of shippers that maybe gotten a waiver and that’s going to be out there in the future? Or can you give us a sense for kind of what percentage of customers actually took that dim weight charge in this year? 
Kurt Kuehn: Yes, David, we’ll save that for the next questioner. Let’s move on. 
David Vernon: All right, thanks. 
Operator: The next question will come from Mr. Tom Wadewitz of UBS. Please go ahead.
Tom Wadewitz : Yes, thank you and, Kurt, congratulations to you. I’ve worked with you for a long time, remember back when you are Head of IR and it’s really been a pleasure working with you over the years. So, congratulations on the retirement and Richard, congratulations to you as well. 
Kurt Kuehn: All right. 
Tom Wadewitz : Let’s see. So, I think, I want to ask a little bit more on the pricing, the strategy, how much is this change in terms of the yield management that you would expect affecting going forward? Are we going to hear more about yield management and turning away business and perhaps even acceleration in pricing from what we’ve seen in first quarter? Or is this more of a one-off where it was a particular piece of business that was kind of a one-time thing? 
Kurt Kuehn: No, I think, we are pursuing a consistent revenue management strategy. We have talked last year that following peak season, we were going to migrate and to being more price disciplined. And so, this is not a one-time issue. It’s just a continuation of our strategy. 
David Abney: Our revenue management initiatives certainly are gaining traction. We expect that to continue, but we have to remember, this is a multi-pronged strategy. I mean, yes we are working on pricing initiatives and especially along peak season lines, but we are also focusing on creating unique solutions for our customers that brings additional value. And then of course, focusing on operating efficiencies that would give us the results we want to. So, it’s a multi-prong strategy and it’s something that will be throughout the year. 
Tom Wadewitz : Thank you. 
Operator: The next question will come from the line of Ken Hoexter of Merrill Lynch Bank of America. Please go ahead.
Ken Hoexter : Great, thank you and good morning and I’ll let go that, congrats Kurt, it’s been great working with you for almost 15 years and welcome to Richard. If we could just jump over to International a bit, you’ve posted a increase in profitability up about 280 basis points on the margin. Can you talk – you talked a lot about the cost, David on the Domestic side, and what you’ve put in place. But a big upside, I think surprise on the International side. Can you kind of walk us through where – what cost kind of you focused on there or was it more of the volume side or was it the cost side that enabled that increase? 
Kurt Kuehn: Well I think, you’ll - I think it’s a blend of all of those, but Jim, why don’t you take us through the quarter? 
Jim Barber: Sure, I would appreciate the question. I think it is a blend. I think if you start in Europe, you’ve heard us talk for a couple of quarters about the growth there and some of the challenges we had and the Group has done a great job over the last couple of quarters to put that into the network and you also heard us discuss the expansion of the network in Europe in investment, that’s starting to payoff as well and some of the operating efficiencies and I think the other big one for us in the quarter is out in Asia. Even with some of the slower growth, I think the team has done a very good job to cut the network and balance what’s going into the network and I would say, those are the two biggest drivers especially in the Inter-Asia network and the European network as well to drive the numbers this quarter. 
Ken Hoexter : Thanks, I appreciate the insight. 
Operator: The next question will come from the line of Kevin Sterling of BB&T Capital Markets. Please go ahead.
Kevin Sterling : Thank you and, Kurt, let me say my congratulations as well on your pending retirement. I’ve enjoyed working with you over the years and best of luck to you. 
Kurt Kuehn: Thanks. 
Kevin Sterling : Maybe, can you guys talk a little bit about some of the trends you are seeing in April? Particularly, on the International side and in LTL, are you still seeing some benefit from the West Coast Port diversions and congestions? 
Kurt Kuehn: Yes, I think a lot of that’s cleared up. I don’t know, Myron, any particular trends on the LTL side do you think are notable?
A – Myron Gray: On the volume. We are seeing the same thing happened in April that we saw in our first quarter with stable improvements we expect that will have 3% to 3.5% growth and freight market moving forward. So no particular issues there. 
Kurt Kuehn: Yes, barring a little labor disruption on the ports, of course, given the latest guidelines, yes.
Kevin Sterling : Okay, thank you. 
Operator: The next question will come from the line of Mr. Art Hatfield of Raymond James. Please go ahead.
Art Hatfield: Hey, thank you. Me likewise, Kurt, congrats and it’s been great working with you. Glad that you finally decided that you had enough of us. 
Kurt Kuehn: No. And it was a full dose. 
Art Hatfield: I am sure. Going back to the comment on your pricing strategy, real quick and being more disciplined, can you talk a little bit about what you see in customer actions that when you decide to walk away? I mean, what’s your kind of history with that? Do you see customers coming back to you after a short period of time when you do something like this asking you to come back as they miss the service? And really are they ultimately going to see higher pricing in the long run and why would they allow you to walk away from them at this point in time? 
Kurt Kuehn: Yes, that’s – certainly, pricing decisions are complex and it depends a lot on the relationship and the nature of the volume that’s being entered to it. But, Alan, if you could talk a little more about our approach? 
Alan Gershenhorn: It really all comes down to, I think what David talked about the balance as well as the value that we are creating for the customers. So, we are very focused on creating value for the specific industries that we are targeting and yes, in some cases, we do see those customers come back. But I just want to reiterate that we are firm in our strategy to further align the revenue with the cost throughout the year including peak season. 
David Abney: You know, and I think, I’d probably word it just a little bit different than maybe on the question, as far as walking away, I think it’s more that we do choose sometimes not to pursue some of these lower yielding contract renewals. But we are constantly working with our customers on how we can add value and how we can optimize our network for them. So it’s not like we just walk away. We try to give options and we try to show the value. There are some cases that we choose not to pursue. 
Art Hatfield: Right. Thanks for your time this morning. 
Operator: Our next question will come from the line of Mr. Bill Greene of Morgan Stanley. Please go ahead.
Bill Greene : Yes, hi there, good morning. Kurt, congrats again. Wish you all the best. Richard, congrats, by my condolences. So, I wanted to ask a little bit more of a broader question. Of course, we’ve seen FedEx take action in Europe and they will spend sometime absorbing TNT now integrating it. Can you talk a little bit about how you see the broad global landscape now after that change? Obviously, in the interim, you will try to win I am sure some share in Europe. But, does this make other aspects of the world, other areas of the world more attractive? Should we think more about growth in Asia given the changing playing field in Europe? Can you talk a little bit about how you see that evolving? Thank you. 
David Abney: Certainly, I can, first, I’ll just remind everyone that the FedEx, TNT deal that is complex deal and we expect that regulatory agencies will be as stringent on this deal as they have been on previous deals. Then when you talk about opportunities in Asia. Obviously, Asia and emerging markets were always pursuing those opportunities. Let’s don’t forget the fact that that we have experienced just great returns from our Europe markets and we certainly don’t expect that to change. Over the last ten years, our Europe export average daily volume has more than doubled and we’ve previously announced a five year capital deployment plan that’s approaching about $2 billion. So, we are adding capacity. We are expanding our capabilities. We have a real good business in Europe and we expect it to continue to grow and we are as excited as we have been at any time about Europe. 
Bill Greene : Thanks. 
Operator: Our next question will come from the line of David Ross Stifel. Please go ahead.
David Ross : Yes, good morning gentlemen. Just to follow-up on the question regarding Europe. The exports are certainly strong driven by the weak euro, but domestic Europe was also up year-over-year. Can you talk a little bit about the overall European market, what you see in terms of the European economy right now and going forward? 
David Abney: Jim? 
Jim Barber: Sure, David, the – I guess, I’ll just hit on trade flows real quickly. The kind of the balance of the network certainly at this point with the strength of the dollar, we are seeing a move of imports to exports. Europe is a big piece of that. We kind of right now after the first quarter have a gap of about 6% between growth of imports and exports. We’ll balance that. We have to balance the network. We’ll look at how we rate export and import rates across the world, but that’s just part of the normal running of the business. The domestic in Europe, specifically, that just is a continuation of the investments over the last decade as David referenced. We continue to do that and invest in some of those. The acquisitions we’ve made over the previous years help us grow. So, the solutions that are in place will are paying off and they will continue to pay off going forward. 
Operator: We have a question from the line of Ben Hartford of Baird. Please go ahead.
Ben Hartford : Hi, good morning guys. Jim, I guess, I am interested in the comment that you had made of a better balance in Asia and I am curious about your perspective as it relates to outbound Asian Air Freight post-Chinese New Year and as we look into 2Q and 3Q with the US West Coast situation presumably normalizing, do you expect further cuts or would the next step be to add incremental pet capacity in that trans-stack lane and just outbound Asia generally, as we look into 2013 there has been – 2015, there has been a lot of debate about a demand to outbound China here year-to-date. I am interested in your perspective there.
Kurt Kuehn: So, if I look at April, compared to the first quarter, it continues on and remember in the Freight segment, we are kind of in that transition we have a very targeted growth plan. You can see that in some of the numbers coming through. So you will see lower growth, more targeting of the freight that’s in the network. We’ll continue that. The West Coast Port stoppage in the first quarter gave us some lift, that’s mitigating as we speak. But we have to balance that network obviously with the small package network. Chinese New Year, we had a really good new year this year. We had some great alignment of the network to the volume. That will continue and so it’s just a continuation in our minds of balancing the right network with the right volume at the right levels going forward and I think the first quarter was a success and we see the same things starting off the second quarter. 
Ben Hartford : Thank you. 
Operator: We have a question from the line of Chris Wetherbee of Citi. Please go ahead.
Prashant Rao: Good morning, this is Prashant Rao in for Chris and congrats to Kurt and to Richard. My question is really on the volume side on Domestic. I was wondering if there is anything – how much of the volume changes are to be attributed to maybe some seasonal patterns, weather and seasonality a play, any other factors you’d like to call out, maybe in terms of what we are seeing on the Domestic side in terms of volume. Clearly, yields and revenue management are fantastic, but just wanted to kind of get thoughts around the volume side there? 
David Abney: Yes, Alan, if you could?
Alan Gershenhorn: Yes, so, yes, we are actually encouraged by the progress we are making in balancing the volume growth and the yield. We did actually see a dip in the average daily volume in February that aligned with some of the bad weather in the Northeast and other areas of the country. And also some of those pricing decisions not to renew the low yield agreements. 
Prashant Rao: Okay, great. Thank you.
Operator: And we have a question from the line of Scott Schneeberger of Oppenheimer. Please go ahead.
Scott Schneeberger : Thanks. Good morning and congratulations Richard, and Kurt. Just following up on that last question, in the first quarter, it sounds like the B2C and B2B were both strong. Could you add a little bit on each please? Thanks. 
Kurt Kuehn: Alan, go on ahead. 
Alan Gershenhorn: Yes, so, for the first time in a very, very long time, our B2B growth was actually a bit stronger than our B2C and as you know, our deferred volumes were also strong and the SurePost while it’s still strong, certainly, year-over-year slowing down as that product becomes more mature. Just keep in mind that this is just a one quarter data and we are still expecting about 3% growth for the year. 
Operator: And we have a question from the line of Kelly Dougherty of Macquarie. Please go ahead.
Kelly Dougherty : Hi, thanks for taking the question. And so I just want to follow-up on that last one if we can talk about the B2B versus B2C growth. And wonder how you think about, maybe some UPS-specific initiatives, because some of the macro data that's been out recently has been underwhelming from an industrial production or manufacturing perspective. So thinking about how that factors into maybe what you are expecting earlier this year?
Kurt Kuehn: Yes, so, a couple of things. We are very focused on industry-specific solutions that we are building for the hi-tech, the healthcare, the automotive industrial, manufacturers that’s out there. So that we can win more and win faster in those specific areas. Certainly, e-commerce though is also driving a significant amount of our B2B growth through returns as well as manufacturers that ship B2B going more into the e-commerce realm. So, it’s really a mix there. So we are pretty excited about the fact that e-commerce is beginning to generate some significant B2B business.
Kelly Dougherty : Is there any way to separate out, your - I know great that that B2B is growing faster than the B2C at this point. Is there any way to separate out kind of traditional B2B versus what retail might be driving?
Kurt Kuehn: Yes, Kelly, it is becoming pretty blurred these days. So we are – at this point, we are really not adding anything to that. 
Kelly Dougherty : Okay, thanks Kurt and congratulations. 
Kurt Kuehn: Thanks. 
Operator: And we have a question from the line of Tom Kim of Goldman Sachs. Please go ahead.
Tom Kim : Thanks very much. I wanted to ask with regard to trading down on International, I mean it was a very impressive performance last quarter and I am wondering to what extent there is actually further opportunities just depending on how trading down may be shifting? Thanks.
Kurt Kuehn: Yes, those trends have been pretty consistent. We have seen our standard and deferred products grow faster than our premium express products for a number of years. So, with our aligned network, it’s not a big deal. One thing though that I guess, I do want to highlight, if you look at the yields that there was certainly some impact from the shift of products, but the biggest issue on yields by far is the currency impact. And so, it is – we do have on Page 3, the schedule of revenue per piece that we’ve always had there. But with Rich coming in as our Treasurer, he decided to give a little gift to you guys and we actually created a new schedule on Page 3 there that shows total company revenue-adjusted for currencies. So, Rich, maybe you could talk a little bit about currencies.
Richard Peretz: Sure. We use hedges to minimize the volatility of currency and now the business to concentrate on the fundamentals of growing the company. Our current hedge strategy is protected through the end of 2016 for all the major currencies that we operate in. There are some non-hedged currencies that we saw larger shifts than we have seen historically and that’s because the dollar strengthened so much during this first quarter of 2015. Our strategy is to use a color approach and it really is there to make sure that we are protecting the currency while the business continues to grow. 
Kurt Kuehn: So, that’s really been the biggest issue on reported revenues. The trade-down is a small piece of it, but, anyway, we thought being transparent on just what is happening with currency was an important element there and we are fortunate to have locked in a couple of years worth coverage on the euro and the pound that’s certainly helping to keep the financial results solid for the foreseeable future.
Tom Kim : Thanks very much.
Operator: And we have a question from the line of Robert Salmon of Deutsche Bank. Please go ahead.
Robert Salmon : Okay, thanks, and Kurt, and Richard, my congrats to both of you guys as well. If I could kind of turn it back the discussion back to the dimensional pricing, can you give us a sense of how much of the full impact that you guys realized in the first quarter? And how we should be thinking about that stepping up as we look out to 2016 and 2017 for some of the longer term contracts that you have?
Kurt Kuehn: Yes, I think one way to look at it, and I’ll let Alan talk a little bit about the contracts, but certainly the initial impact of dim weight has been primarily on the revenue side. But ultimately, we are working with a large number of customers to adjust their packaging, that’s the real intent to this. And so, if anything we have said, the revenue impact will moderate a little over time and the economic benefit of less air in our feeders will come through. So, we did see a big benefit in the first quarter and as we work with customers to reduce their costs then that will migrate. And then certainly with some long-term contracts there are some other ramifications. 
Alan Gershenhorn: Yes, I mean, I think it’s a combination of both. So you’ve got our customers that we are working with to get smarter on their packaging which obviously helps us add on the side, but we’ll take the revenue down a bit and then we’ve got some longer term contracts that we’ll be able to capture a bit more the dim weight opportunity going forward. What we are looking at this year is that, we already stated that we are at the high-end of the 2% to 3% base rate that we look for and our expectation is that that’s going to continue through the year. 
Robert Salmon : Thank you.
Operator: And our next question will come from the line of Brandon Oglenski of Barclays. Please go ahead.
Brandon Oglenski : Well, good morning everyone and Kurt, as well, congratulations, just make sure you watch out for Andy Dolny on the golf course when you're back out there.
Alan Gershenhorn: Right, he is dangerous. 
Brandon Oglenski : I’ve heard. I can't let you off that easy, so I do want to ask a question on Domestic margins and I guess it's two parts, I hope I'm not cheating on the one question rule here. But, can you first quantify the fuel impacts on margins for us if possible? But then, can we walk through the puts and takes here, because obviously you have a pretty strong pricing outlook, but what are the cost additions of the capacity initiatives that we have again, and I know you - I think you have $180 million of pension headwind. Should we still be thinking that margins domestically are going to be roughly flat with last year or even slightly up, which I think was the prior guidance?
Kurt Kuehn: Yes, I’ll let you cheat. It’s because the final farewell question here. And I’ll let margin – I’ll have Myron – excuse me – talk about the margin enhancement activities. In general, just to highlight the impact of fuel a little bit, for the International business, there was a benefit of fuel of about $30 million or so. In general, coverage for fuel and International was not a 100%, so as fuel dropped we got a benefit although the lag accounted for a lot of that. On the Domestic side, actually, fuel was relatively neutral for us in the quarter. Traditionally, there is a benefit from the lag as it drops, but with fuel dropping frankly to unexpected levels, our coverage ratio is at the very low end of the fuel curve were not complete and that in effect, offset the lag. We did tweak the curves a little bit in February and so that will be relatively neutral going forward. But, we did not get a material benefit on fuel in the first quarter. So, Myron, maybe you talk a little bit about the margin enhancing activities we are working on. 
Myron Gray: Yes, Brandon, keep in mind that, US Domestic really is a year-over-year comp story as we also have a drag of almost $200 million in pension expense that I want to bring to your attention. In addition to that, as David Abney earlier alluded to, we have made progress operationally on several fronts. We’ve continued to deploy operational technologies. We’ve tightened up our operations from a dispatch perspective and we continue to add capacity in selected markets as well as our hub marked projects. 
David Abney: The first quarter just really affirms that we are moving in the right direction. And that we are on track for our financial objectives and we really had solid performance across all three of the segments. 
Operator: Our next question will come from the line of Jeff Kauffman of Buckingham Research. Please go ahead.
Jeff Kauffman : Thank you very much and Kurt, best of luck and Richard, really looking forward to working with you. Although I do reflect on the fact that Kurt, you've been promoted a number of times, now you are retiring and I am in the same job. All right. So here is my question, the International growth you talked about 2% to 3% ex-currency, but in the current quarter, you did 2.4% ex-currency. And as I look around the world, I am looking at get some big markets for you like Europe that seem to be gaining in momentum. So, can you tell us through your eyes what's going on and how the levers are moving globally? And are there any aspects of the global environment that you were downgrading to stay at this – at level in terms of your forecast for the year?
David Abney: All right, from a macro point of view and then I’ll turn it over to Jim. But the – International growth is not expected to be quite as strong as previous estimates. It’s not 2.8% GDP growth versus 3.0%. So the outlook is really mixed at the regional level. In Europe, the growth is estimated to be 1.9%. So, previously forecasted at 1.7% and that’s really driven by Germany, and one key point here I think is, for the year, the real UPS – excuse – EU real exports are forecasted to grow at 4.8% this year in 2015. So, Jim, turn it over to you to talk about the specifics.
Jim Barber: Yes, I would add probably three quick points to that. One, and then we already touched on one, one is kind of the balance of trade here. And how that plays out relative to some of the currencies moving in the world. I think, you also have fuel in here that is one of those wild cards that we are not sure how that’s going to work We also have to look at a little bit of China slowing in this discussion. We can’t forget that at any time. And I think the last part is that, as we’ve gone through this, we have purposely said that we are going to slow some of the growth until our investments catch-up with it and then we’ll fire the engine up faster again. So this is kind of one of those purposed slowing to let the investments catch-up, reinvigorate it and keep moving forward. So, we are going to kind of dip it down a little bit from a revenue or a volume revenue. But that will be very targeted in our revenue management activities to do that. So that’s our plan. 
Jeff Kauffman : Well, thank you very much. That’s my one. 
David Abney: Great.
Operator: And our next question will come from the line of Scott Group of Wolfe Research. Please go ahead.
Scott Group : Hey, thanks. Morning guys. So, first, Kurt, when you were giving the fuel impacts, I didn't hear you give one for Freight, if you can give that. And then just my bigger question is on Europe and you talked about you've had this kind of sustained track record of growing double-digits and wondering given the FedEx, TNT deal how you think that plays out and whether or not you think that will accelerate in the near-term? And do you think that once the deal closes, do you think you'll be able to sustain double-digit growth in Europe?
Kurt Kuehn: Yes, I am not sure how many questions that was Scott. But we’ll humor you a little bit. Certainly, fuel was a significant drag on reported revenues and Freight, almost 500 basis points. The P&L impact was modest, but not significant, because of the dramatic change in coverage ratios once again as we move down to those levels. David? 
David Abney: We feel real good about Europe this year and we do have a great track record. We are investing heavily to expand our business. But there is a little bit of transition going on with some of the players in the market and we are certainly going to emphasize our message that we have a fantastic service offering. We meet our customers’ needs there and we are going to continue to invest and grow in this important part of our business.
Operator: The next question will come from the line of Allison Landry of Credit Suisse. Please go ahead.
Allison Landry : Thanks, good morning. 
David Abney: Morning.
Allison Landry : In terms of the hub modernization, how many of the 30 major US sorting facilities are now automated? And given our expectations for continued strength in e-commerce, whether it's B2C or B2B, do you see any need to further accelerate investments in the network? And within that context, should we read anything into their cash builds during Q1?
Kurt Kuehn: I’ll start with the last piece of that once again. No, the cash build in Q1 is more just typical seasonal from Q4 where we have a lot of receivables coming at the end of the year. For Q1, where our CapEx is usually low that we do see the balance sheet swell. So, if you go back to last year, you’ll see similar trends. So, no, we are on track for our guidance of about $3 billion in CapEx this year and certainly continuing to modernize hubs is important. Myron, maybe you could talk a little bit about the status and benefits of that.
Myron Gray: Allison, there is a five-year plan that’s in place to either add capacity or modernize all of our top 30 hub locations. At the end of this year, we’ll have four projects that will be totally completed with adding capacity in two locations and hub models and two others. And certainly they are put in place to increase our throughput and our productivity. 
Allison Landry : Okay, thank you for the time. 
Operator: Our next question will come from the line of Jack Atkins of Stephens. Please go ahead.
Jack Atkins : Good morning guys. Thanks for the time. So, I guess just, for my question, you're thinking about the US Freight economy, there is a lot of concern out there that we're beginning to see things perhaps slowdown a little bit. Could you give us a sense for what you are seeing in your underlying business in the US? And then, what are you learning in your conversations with your customers as it relates to freight demand for the balance of the year?
David Abney: Okay, first when it comes to the US, the outlook is certainly mixed. I mean there were some recent disappointing employment news in March and we’ve seen IP and the retail data maybe be not as positive as we would have thought. There are some headwinds. We talked a little bit about the West Coast Port, don’t know if that’s going to fade away pretty quickly of if this is going to continue. But the strengthening US dollar and the cautious consumer when it comes to spending, but then on the bright side, you see that, ASMO has gotten off to a strong start this year. January over 14% and February, almost that same level. So, I would say that, it’s just a mixed performance. We are focused on maintaining our strategies and I think it was a good solid performance for the first quarter. But there are some headwinds out there. 
Jack Atkins : Thanks, again.
Operator: Our next question will come from the line of David Campbell of Thompson Company. Please go ahead.
David Campbell : Yes, hi. Thank you, Kurt. Congratulations and thanks for all your help over the years especially at our analyst conferences. I wanted to ask you about the West Coast Port disruption in the first quarter, I couldn't tell whether that was a help on the Cargo revenues or International shipments or both?
Kurt Kuehn: Yes, I think, depending on which segment of the business you talk to they, that are enjoyed it or struggled with it. So, Jim, maybe you could talk a little bit about the West Coast disruption in general and how that impacted results.
Jim Barber: Sure, I think that, David, I think it’s in all segments. I think, from a Cargo perspective, our first quarter was very big, no question about that. That was up heavy double-digits and that actually runs through obviously the impact of the small package network we had trade-ups from – into the Air segment from our Freight business and we also had some moving into small package business. So I think, Kurt has framed it at somewhere between $5 million and $10 million impact to the first quarter. As a lift in total, we don’t see that continuing long-term. Therefore, we kind of pull that out, but that’s kind of the impact from this segment. 
David Campbell : Okay, thank you very much. 
Operator: Our next question will come from the line of Bascome Majors of Susquehanna. Please go ahead.
Bascome Majors : Thank you. So to follow-up on David and Rob's questions on the Domestic dim weight implementation, can you give us a little color on how much of the portfolio that you’ve got on the dim weight schedule for 2015? And whether that's a two to three year implementation to get to 100 or close to 100 or kind of how you see that playing out from a delayed gratification perspective for some of these customers over the next year or two?
Kurt Kuehn: We are not sharing specific numbers, but Alan, maybe you could talk about the general approach.
Alan Gershenhorn: No, again, so, all of our – so all the packages in the US package portfolio are now dim weight eligible. So it really becomes a question, we are talking about really is, what’s under the covers in the contracts and I think again, you are going to see what the work that we are doing with our customers to improve their packaging to reduce the size of their packages will probably be an offset to some of the gains we get from contracts expiring and being renewed with stronger dim weight language.
Operator: And our last question in queue will come from the line of Helane Becker of Cowen. Please go ahead.
Helane Becker : Thanks very much operator. And gentlemen, thanks for the time. Kurt and Richard congratulations. Kurt, I will miss you. And I look forward to working with Richard. Just a question on the tax rate, given how big your International opportunities are - is there an opportunity to lower your tax rate at all by shifting revenue around the world?
Kurt Kuehn: Well, unfortunately, we are not a manufacturer that has a lot of discretion, Helane. So, certainly, we continue to look at our tax structure in the very high statutory rate of the US is a drag on US companies. And certainly, we are a great example of that. So, David constantly ask me that question and we do what we can. But, to some extent, we are a business where you have to operate where the volumes are. So there is not a tremendous amount of discretion. But, as the International business continues to grow and we expand across the globe, that does have a somewhat beneficial effect that lowers it slightly, but still in the main – the majority of that does get hit with the US taxes. That’s why we are big proponents of a more rational US tax platform and that would be a good step for us and help us compete more effectively across the globe.
Helane Becker : Okay, thank you very much.
Operator: I would like to turn the conference back over to Mr. David Abney. 
David Abney: Okay, and thanks for your questions. I think as you can see today that, our answers were really focused about creating unique solutions to our customers to create more value on our pricing initiatives and obviously on increasing our operating efficiency. But now, we are going to cut it a little bit short today to give Kurt a chance to say a few final words before closing out the call. Like many long time UPS employees, Kurt began his career as a package car driver, while in college and progressed quickly through management. Whether working on international growth, expansion into the industry segments or integration of several strategic acquisitions, Kurt has contributed exceptional judgment and fresh perspectives. His partnership character and capacity to find solutions has helped UPS advance through many challenges while remaining true to the needs of our customers, shareowners, and employees. Kurt is just a great example of a business executive first and a finance executive second. I appreciate his thoughtful candor and welcome his knowledge and broad perspective. While I’ll personally miss Kurt as a partner and as a friend, I am happy to also announce Rich’s appointment. Richard has been with the company nearly 34 years. I believe he will contribute the right mix of experience and new thinking to help UPS continue to attain profitable growth. So, Kurt, it’s all yours. 
Kurt Kuehn: Well, thanks, David and thanks for letting me get the final word here. But now it’s been a wonderful career at UPS and I’ve been privileged to tackle a number of major projects working for this great company. Certainly, the one event that comes to mind is when I first met many of you on the call, which was our IPO in 1999 and got the unique opportunity to be UPS’s first Investor Relations Officer after a history of 92 years as a private company. I was a bit overwhelmed at first, but was extremely proud to represent this great company as we migrated from the private company we were to the public markets and would like to thank a number of you on the call there for your professionalism over the years have given us the benefit of the doubt and helping us communicate the UPS story. There have also been a lot other highlights along the way and in every case, my recollections will be strongly enhanced by the memory of working with such a great team that we have here at UPS. I’ve had the great fortune from starting as a package driver to assuming the CFO role back in 2008 to have an incredible breadth of assignments and clearly it’s truly transformed both me and my view of the world. And so, I’ve been honored to have served and helped position this company for the future. But I do know, it’s now time to get out of the way and allow more capable executives like Richard to takeover, little younger, little faster, little smarter. He joins a dynamic management committee that has been assembled by David and together, they have both the vision and the dedication that will take UPS to new levels of success. As the official old-timer on the UPS team, I am already dreaming about having some leisure time to do some of the other things I love, maybe learn how to play piano, get in shape and certainly work on my ass fishing will be good places to start. In the near-term, I am looking forward to seeing many of the participants on today’s call in the upcoming meetings or conferences that Richard and I make visits during this transition. So, thanks to everyone for your well wishes today and I look forward to seeing many of you as the part of our upcoming meetings. With that, our call is adjourned.